Operator: Good morning and welcome to the 2020 First Quarter Earnings Conference Call hosted by BNY Mellon. [Operator Instructions] Please note that this conference call webcast will be recorded and will consist of copyrighted material. You may not record or rebroadcast these materials without BNY Mellon’s consent. I will now turn the conference over to Magda Palczynska, BNY Mellon’s Global Head of Investor Relations. Please go ahead.
Magda Palczynska: Good morning. Today, BNY Mellon released its results for the first quarter of 2020. The earnings press release and the financial highlights presentation to accompany this call are both available on our website at bnymellon.com. Todd Gibbons, BNY Mellon’s CEO will lead the call. Then Mike Santomassino, our CFO will take you through our earnings presentation. Following Mike’s prepared remarks there will be a Q&A session. As a reminder, please limit yourself to two questions.Before we begin, please note that our remarks today may include forward-looking statements. Actual results may differ materially from those indicated or implied by our forward-looking statements as a result of various factors, including those identified in the cautionary statement in the earnings press release, the financial highlights presentation and in our documents filed with the SEC, all available on our website. Forward-looking statements made on this call speak only as of today, April 16, 2020 and will not be updated.With that, I will hand over to Todd.
Todd Gibbons: Thank you, Magda and good morning everyone. Before getting into our results, I want to call out the heroic efforts of medical professionals and first responders in the U.S. and abroad. I have doctors in my immediate family, so I am acutely aware of the risks and what they are dealing with. We are also grateful for the extraordinary actions taken by central banks, regulators and governments to minimize the extent possible the financial fallout as we all face this unprecedented crisis.Now, let’s shift to our financial results. I will briefly highlight our first quarter performance and then focus on how we are navigating the current realities, discuss what the immediate impact has been on our business, and then look at how we think about the potential impact going forward. Mike will then go through the financials in more details. For the first quarter, we reported earnings of $944 million and earnings per share of $1.05, that’s up 12% over the first quarter of 2019, with revenue up 5% and expenses flat as we benefited from heightened levels of market activity and volatility partially offset by the impact of lower interest rates. All of our investment services business showed solid growth.Clearly, we have entered an unprecedented environment where things are changing quickly and it’s going to be a very challenging time for everyone. As the – the situation has evolved quickly, but from the start, our focus was on the health and well-being of our people and the continuity of service to our clients. We quickly transitioned the vast majority of our people to working from home, which opened up space for us to create social distancing for the small number of essential and office staff. Fewer than 5% of our global employees remain in the office. These essential in-office staff are primarily performing roles that cannot be done remotely.The investments we have made in our infrastructure, operating platforms and cyber information security have clearly benefited us enabling us to support this broad scale of remote working arrangement. All of the controls and security oversight that govern us when working inside the office are in full effect when we are working remotely. The response from our people has been exceptional. You couldn’t ask for greater professionalism or dedication to our clients at a time when we are also dealing with unprecedented levels of market activity and personal challenges. Please note that while our people are caring for our clients we are caring for them.We have made available to them a host of health and well-being resources, including access to telehealth services, free testing for COVID-19 in the U.S. along with us covering all costs related to outpatient, urgent care or emergency room visits for the evaluation and treatment related to COVID-19. Recognizing the mental health challenges during these uncertain times, we made available the stress management program and emotional support services and resources to help our people cope and deal with the social isolation. And we are supporting our colleagues who are unwell or may have been exposed by guaranteeing full pay for absences for those who have tested positive or are self-quarantined. We are also providing paid time off to care for immediate family members with COVID-19 or COVID-19 like symptoms.Finally, to support our people we made the decision that we will not do any additional layoffs during 2020. It’s absolutely the right thing to do at a time when the pandemic is creating so many personal uncertainties for our people. Since the crisis began, we have remained fully operational and opened for business and we have been there for our clients during this unprecedented period of market disruption. We engaged early with thousands of clients globally to discuss their own continuity plans and work with them to ensure minimal disruption to their operational processes and transaction settlements. We stood up client command centers for our operations and client-facing staff to centralize, escalate and quickly resolve client enquiries. We accelerated training on our digital tools to help clients reduce their physical and manual process footprint, minimizing their operational risk profile.We have also taken a series of humanitarian actions in an effort to and help those negatively affected by the virus. That has included making philanthropic commitments to important support organizations in regions where our employees live and work, including organizations working in the frontline in the U.S., EMEA and Mainland China and other affected areas in Asia and India announcing a twofold and matching program for employee donations. We have also donated hundreds of video capable tablets to public hospitals in New York to help patients and medical staff communicate with their loved ones and partnering with nonprofit organizations to provide aid to first responders healthcare transit and other first frontline workers as well as serve some of the most vulnerable populations in the provision of critical items such as meals, shelter, medical equipment, educational supplies and financial support as well as 50,000 face masks we donated to New York city hospitals dealing with shortages. We also continue to look for opportunities to do more.Lastly, we are focused on maintaining strength, liquidity and lower risk profile of our balance sheet, while using it to support our clients and markets. We have been in regular dialog with the regulators and key market participants to ensure we are coordinated and see how we can help bring stability to markets when the markets first came under pressure last month. The Federal Reserve activated a primary dealer credit facility to provide funding to primary dealers. They achieve that through our tri-party repo services. That’s something we are uniquely positioned to do and it’s been a privilege to help given our strong capital and liquidity position. We have used our balance sheet to support our clients. That means accommodating their elevated deposits and funding about $3 billion incremental gross on committed facilities. In March, we also purchased more than $3 billion in assets and money market funds, including our own to upgrade liquidity for fund holders and we have continued to do so in April.Looking ahead, we and our clients faced extreme market and economic uncertainty. While it is too early to predict the impact, we have a well diversified and financial resilient franchise that is relatively well positioned to withstand what’s to come in terms of the immediate impact on our business. March had extremely high levels of volatility. In market stresses, we experienced much higher client volumes than normal and activity is up across all of our business lines.Let me just share a few data points that bear this out in foreign exchange. We saw higher volumes across all parts of our business, up approximately 50% in March and large spikes in volatility in U.S. dollar payments treasury service on average processed $2.5 trillion payments per day in March peeking one day at over $3 trillion in mid-March compared to $1.7 trillion in recent quarters. At times, Pershing saw elevated trading volumes 2.5x to 3x normal level. In clearance and collateral management, U.S. government securities clearance volumes in March were up more than 20% from February levels driven by the heavy U.S. treasury issuance coupled with increased market volatility and asset servicing.During March, we experienced an increased an increase in U.S. accounting trade volumes of more than 50% versus the first two months of 2020 and global security settlement times were up approximately 40% over the same period. We have also experienced substantial deposit inflows in asset management. We experienced net inflows driven by cash inflows of $43 billion and our performance fees were up due to solid performance across our largest strategies. As you think about company’s performance over the rest of the year, I would caution against extrapolating these results for the full year.The full ramifications of the lower rates and the moves in the capital markets are not yet being fully felt. The decline in our capital ratios this quarter reflects large deposit inflows mostly due to the flight to safety for current market conditions and Fed balance sheet expansion share repurchases of $985 million were completed prior to deciding along with the other big banks to temporarily suspend further buybacks so that we can use our significant capital and liquidity you provide maximum support to our clients. We believe that we will have the ability and a wide range of scenarios to continue to pay our dividend and to support our clients.Looking ahead to the remainder of 2020, it is difficult to forecast the impact of the coronavirus on our results with certainty, because so much depends on how the health crisis evolves its impact to the economy and the actions taken by central banks and governments to support the economy. We have a lower risk fee-based business model that positions us relatively well in an environment like this. We performed stress test regularly as to our regulators. In CCAR, we consistently perform well. We have a highly diversified business model, with a conservative risk profile and fees in general are skewed towards recurring revenue streams. We should benefit from increased activity in clearance and collateral management from increased issuance of U.S. treasuries and U.S. tri-party collateral management although the latter somewhat depends in Federal Reserve Bank in New York operations.Monetary policy turns signs of uncertainty, tends to have a positive effect for us to lower – to higher deposit volumes and we will continue to mange our expenses tightly. All that having been said, the lower interest rate environment impacts us both through net interest revenue and through money-market fee waivers in Pershing, asset management and corporate trust as well as the market decline in certain industries being under pressure will have an impact. And Mike will cover those items in more detail later. Still we believe we have the capital and liquidity to withstand a multiple of scenarios, pay our dividends and continue to support our clients.Finally, I wanted to take a moment to convey how deeply honored I am to be CEO of this great company. While my near-term focus is on safeguarding the well-being of our employees supporting our clients through this period and maintaining our balance sheet, we are looking ahead to ways to build on our solid foundation with the strong business model and balance sheet to drive improved performance and capabilities across our company.With that, I will turn it over to Mike.
Mike Santomassino: Thanks, Todd and good morning everyone. First, let me echo Todd’s opening comments. There are an incredible number of people in our communities who are either out there on the frontlines or are providing essential services to help the rest of us and our families not to mention all the people and government in our industry who are working together to help the economy, help people pay their bills and ensure the smooth functioning of the global markets. We are thankful to all of them. With that said, let me run through the details of our results for the quarter. All comparisons will be on a year-over-year basis unless I specify otherwise.Beginning on Page 5 with the financial highlights document, in the first quarter of 2020, we had earnings of $944 million and earnings per share of $1.05, up 4% and 12% respectively. Comparisons versus the fourth quarter of 2019 are impacted by the notable items we incurred last quarter specifically the gain on sale of the equity investment, which was partially offset by severance and litigation expenses and net security losses. Total revenue was $4.1 billion or up 5%. Fee revenue increased 10% primarily driven by higher foreign exchange and other trading revenue, higher transaction volumes and increased activity from existing clients across investment services and higher performance fees in investment management which were partially offset by equity investment losses and losses from consolidated investment management firms.Net interest revenue declined 3% to $814 million year-over-year and was flat to the fourth quarter. We increased our provision for credit losses by $169 million in the quarter. This was driven by the macroeconomic outlook in conjunction with the application of the new CECL accounting standard. Our actual losses or net charge-offs were $1 million during the quarter. Expenses were essentially flat driven by continued investment in technology and the higher pension expenses we spoke about last quarter partially offset by lower staff expense and the favorable impact of stronger U.S. dollar.We had a solid return on intangible equity of 20% and maintained a pre-tax margin of 30%. In terms of shareholder capital returns, we repurchased 21.7 million shares for $985 million. The majority of the repurchases were completed in January and were all completed ahead of the March 15th announcement by the Financial Services Forum, member banks regarding the temporary suspension of repurchases. We also paid $282 million in common stock dividends in the first quarter.And moving to capital and liquidity on Page 6, our capital and liquidity ratios remained strong and well above internal targets and regulatory minimums. The declines versus the prior quarter primarily reflect this quarter’s very strong deposit growth that increased the size of the balance sheet. Common equity Tier 1 capital totaled $18.5 billion as of March 31st and our CET1 ratio was 11.4% under the advanced approach and 11.3% under the standardized approach. Our average LCR in the first quarter was 115% and our SLR was 5.6%. And a reminder that effective April 1, the revised rules will allow us to deduct central bank deposits and U.S. treasuries from the SLR denominator. Under the new rules, the SLR would have been approximately 7.6%.Turning to Page 7, my comments on net interest revenue will highlight the sequential changes. Net interest revenue was $814 million, flat to the fourth quarter. Despite lower rates in the quarter, the results were better than what we had expected driven by the elevated deposit levels, particularly in the last 3 weeks of March. We also benefited from higher securities and loan balances and the widening of LIBOR to Fed fund spreads. This was offset with the negative impact of hedging activities, which are mostly offset in trading and other revenue. The increase in loan balances in March was primarily driven by clients drawing approximately $3 billion from their committed credit facilities and elevated overdrafts. Higher overdrafts are normal when there is an increase in market volatility and the overdrafts are generally well secured. The net interest margin of 101 basis points was down 8 basis points versus the fourth quarter.Page 8 describes how deposit balances trended over the course of the quarter. Deposit balances were close to flat to the fourth quarter average through the first 2 months. And if you recall, we had some episodic activity last quarter, so balances were running a little ahead of where we modeled before the increased market volatility in March. In March, deposits increased to over $300 billion on average and $337 billion at March 31, which you can see in our supplement. All of the businesses saw increases with the largest dollar increase in asset servicing. Through the first two weeks of April, deposit balances are down from the March 31 levels, but remain elevated.Moving to Page 9, our average interest earning assets increased to $324 billion, approximately 41% of these assets are held in cash or reverse repos, while 42% are in our securities portfolio and 17% are in the loan portfolio. In addition to the funded loans in the page, we also have unfunded committed lines. The details can be found in our annual report and will be updated in the 10-Q. I will give you an overview of the funded loan exposures. 26% of the portfolio is related to high-quality mortgages and well secured investment credit lines provided to our high net worth wealth management and Pershing clients. To-date, we have received a limited number of forbearance requests related to the mortgage loans and are working through them with clients.The investment credit lines performed well during the market volatility. 21% of margin loans primarily in Pershing, these loans are well secured and have performed well during the recent volatility as well. 23% are to financial institutions and are composed primarily of short-term trade related loans through investment grade banks with tenures less than 1 year and secured loans to clients, including asset managers who often borrow against marketable securities held in custody. 10% of the portfolio was in commercial real estate. Approximately, 70% of the loans that are secured with moderate leverage and solid loan-to-value ratios, roughly 10% of this exposure is related to hotels and retail. There are predominantly – these are predominantly with clients with whom we have longstanding relationships, many over multi-generations. The remaining exposure is primarily to REITs, the majority of which are investment grade and are well diversified across the industries and the remaining 6% is commercial lending. These borrowers are primarily investment grade.Now, turning to the securities portfolio. We have a high-quality liquid portfolio. Much of it is in U.S. government agency securities, U.S. treasuries and sovereign debt. The portfolio increased as we deployed more cash into securities, including the commercial paper and CDs we purchased from our affiliated and third-party money market funds. The $4 billion of CLOs are highly rated with 94% AAA and the remainder AA or better. 97% of the non-agency CMBS are AAA and have solid subordination. The rest of the ratings breakdown can be found in the supplement. Page 10 provides an overview on expenses. On a consolidated basis, expenses of $2.7 billion were up slightly driven by higher technology expenses and pension costs offset by lower incentive expenses.Now, turning to Page 11, total investment services revenue was up 9%. Assets under custody and our administration increased 2% year-over-year to $35.2 trillion as higher client inflows were partially offset by lower market values and the unfavorable impact of a strong U.S. dollar. Within asset servicing, revenue was up 8% to $1.5 billion, primarily reflecting higher volatility and higher client driven volumes in our foreign exchange service, higher transaction activity, higher deposits and new business growth with existing clients.In Pershing, revenue was up 16% to $653 million, primarily reflecting higher clearance volumes, particularly in March. It was also driven by one-time breakage fee related to a potential client that will not affect the run-rate and higher client assets and accounts from new business on-boarded as well as existing clients. Issuer services, was up 6% to $419 million with growth in both corporate trust and depository receipts revenue. Depository receipts revenue was driven by cross-border settlement activity, while corporate trust reflected net new business in higher deposit volumes.Treasury services revenue was up 7% to $339 million driven by higher deposit balances and higher trading volumes. Deposit balances increased year-on-year by 22% reflecting the environment and our investments in new capabilities and the increased focus on deposit gathering. Clearance and collateral management revenue was up 9% to $300 million, reflecting elevated volumes and balances across clearance, tri-party repo and collateral management, global collateral management. Average tri-party collateral management balances in the U.S. and globally were up 15% and 11% respectively.Page 12 summarizes the key drivers that affected the year-over-year revenue comparisons for each of the investment services businesses. Now turning to Page 13 for investment management, total investment management revenue was down 4%, asset management revenue was down 3% year-over-year to $620 million, primarily reflecting equity investment losses, including seed capital as well as unfavorable change in the mix of AUM since the first quarter of ‘19 partially offset by higher performance fees and positive market impact.Performance fees of $50 million were up from $31 million a year ago due to good performance in some of our international active equity portfolios. As a reminder, our performance fees tended to be the highest in the first and fourth quarters and lower in the second and third quarters. We had inflows of $38 billion in the quarter, most of which was in cash. Overall, assets under management of $1.8 trillion are down 2% year-over-year due to the unfavorable impact of the stronger U.S. dollar. Wealth management revenue was down 6% year-over-year to $278 million, primarily reflecting lower net interest revenue due to lower interest rates.Now turning to our other segment on Page 14, revenues were roughly flat year-over-year while expenses declined an $18 million primarily due to lower staff expense. Now, finally a few comments about the second quarter. I will walk you through number of variables that we are watching closely. Having said that, I will encourage you not to put too much emphasis on a point in time view as the variables are changing quickly. As for net interest revenue, as I mentioned, deposit balances continue to be elevated, but lower than the March 31st levels. We are expecting balances to stabilize above the February average, but set below the March 31st surge. We will see the full run-rate of lower interest rates on our funding cost and asset yields, including the securities portfolio. We would expect between 25% to 30% of securities portfolio to re-price in the second quarter. The forward curve for LIBOR Fed fund spreads shows a narrowing from today’s levels and in the portfolio, we are monitoring prepayment fees of the mortgage-backed securities as they maybe volatile in the current environment.So using the forward market curves on our best estimates right now, we would expect net interest revenues to be down sequentially between 2% to 5%, changes to any of the variables mentioned to both positively or negatively impact the estimate. We also expect that the low interest rates will begin to impact money market fee waivers. This impact will be felt more in Pershing initially, but will also impact other parts of the firm. The total impact is difficult to estimate what could be between $50 million to $75 million in the second quarter net of lower distribution expense. Higher yields and short-term instruments may help reduce the impact in the second quarter.The first quarter foreign exchange and trading revenue was impacted by the significant increase in market volatility and associated client volumes, primarily in March. Levels have subsided somewhat in April, but still remain elevated compared to the recent historical lows in 2019. Additionally, the substantial increase in transactional activity in March across many of the businesses, which Todd noted was exceptional and not likely to recur. We will also see the full impact of lower equity markets although some have begun to recover.On expenses, we are continuing to focus on driving down discretionary expense, while protecting our most important investments and continue to reprioritize spending given the environment. We would now expect full year expenses to be approximately flat year-on-year, including the expected 50 basis point increase from the increase in expansion expense. Credit costs will be highly depended on individual credits and how the economic forecast change by the time we get to the end of the second quarter. And in terms of our tax rate, we would expect the full year 2020 effective tax rate to be between 20% and 21%.Now before we go to Q&A, I would just like to congratulate Todd on behalf of the management team on being named CEO. It’s well deserved and really good news for us in the company. And with that operator, can you please open up the line for questions?
Operator: Absolutely. [Operator Instructions] Thank you. Our first question comes from the line of Gerard Cassidy with RBC. Please go ahead.
Gerard Cassidy: Thank you. Can you hear me?
Todd Gibbons: We can, Gerard.
Gerard Cassidy: Great. Congratulations Todd on the new role, you certainly deserve this, so congratulations.
Todd Gibbons: Thanks, Gerard.
Gerard Cassidy: Can you give us a big picture answer? Obviously you guys are the chief plumbers of the financial system and we sort of as you pointed out extraordinary volumes in so many different areas. Can you give us a read from the inside how the system handled all the surge? It appears to have ended it well, but maybe you can give us some firsthand examples of how well the macro system worked to the surge in activity?
Todd Gibbons: Yes, I will take that, Gerard. So it’s Todd. I think it’s impressive how well the system did handle the huge increases in activity and there were there are couple of glitches but not many and for example clearing in collateral management business we went to a 100% work from home very early on and all of that worked quite smoothly and so we saw volumes increased 50% overnight but we had the technology and the capacity to manage it so I think I am pretty impressed across the board where we saw resiliency and disaster recovery plans that had to change a bit to typically a disaster recovery plan where we focus on a region but this was obviously global and so they moved to work from home was wherever it can be executed was executed so a couple of occasional glitches constant conversations between the counter parties as well as our client’s we had many thousands of conversations to make sure that we were connected that they knew how they could connect with us we although there was a lot of mobilization to the use of our portal and electronic means of communication which made things much simpler so I think it was an impressive reflection in the strength of our financial system and the infrastructure of it.
Gerard Cassidy: Thank you. And then more specific question obviously CECL hit your provision for the quarter, similar to other banks two parts first what kind of economic assumptions we will use to come up with that provision that we put in to the first quarter results and then second if you could identify where most of that was allocated, was it to, you mentioned some hotel exposure or to financial customers would be helpful as well? Thank you.
Todd Gibbons: Mike, you want to take that one?
Mike Santomassino: Yes, sure Todd, I will take that. So I would say first as you sort of think about the reserve that we have built, a very small piece of it was due to individual either borrower downgrades or the incremental loans that we saw drawn and most of it was really reflective of the changing economic environments in the new accounting standard and as we sort of think about the outlook that was in there with the outlook takes into account multiple scenarios and we sort of use that changing environment sort of inform what we did and as you sort of look at it was a meaningful waiting towards a very prolong recessionary scenario that does not fully recover us until you get into 2021. So I think that’s the way I would sort of think about it.
Gerard Cassidy: Thank you.
Operator: Thank you. Our next question comes from the line of Brennan Hawken with UBS. Please go ahead.
Brennan Hawken: Hi, good morning. Can you hear me?
Todd Gibbons: We can, Brennan. There is a little noise in the background.
Brennan Hawken: Yes, sorry, it’s another earnings call that’s overlapping, but I am trying to have doing cell phone here, apologies. First off, Todd, congratulations on getting the role of CEO. They kept us in suspense for a while, but glad to see we got to the right place. Quick one on deposit cost trends, so they came in better than expected. It was probably helped by some of the timing of deposit growth, but is there way to help us think about that line in 2Q, maybe how much was averaging and then what you expect to continue to see as far as some relief on the deposit cost front will be great? Thanks.
Todd Gibbons: Okay. Mike, you want to take that one as well?
Mike Santomassino: Yes, sorry – sorry about that. Yes, so Brennan, as you sort of think about it, as you know, the Fed moves pretty substantially in the latter or middle of March I guess. And we adjusted our pricing there and so you only saw really a couple of weeks of that sort of embedded in the first quarter averages. And so as you sort of look at full run-rate impact of that, it’s going be a pretty substantial increase down for the cost of interest bearing deposits. And so in the beta obviously changes as you sort of get close to zero, but I think you will see a pretty significant decline as you get down for the rest of the quarter.
Brennan Hawken: Okay, alright. Thanks for that. And then when we think about servicing lines, I believe Mike that you talked about how there was some strength from volumes, which aided the line which you guys flagged during 1Q as well and early March and it was great to see it come through, but it seemed as though you sort of cautioned about that sustaining, is that because you have seen some of those volumes already subside and can you help us think about maybe how much of a contributing factor that was so we could maybe calibrate for how to adjust in our forecast? Thank you.
Todd Gibbons: So Mike, you want to start and maybe I will add little color.
Mike Santomassino: Yes, I think as you sort of think about what we saw as Todd mentioned in his script is the volumes we saw in the latter part of March were exceptional and they went from for lack of a better way to describe it sort of 0 to 100 overnight. And as we sort of look at what we are seeing post-quarter end, the volumes are still higher than they were before the search, but certainly off the peak that we have had in the latter part of March. And I think as you sort of look at the go forward expectation, it’s really hard to predict with a high degree of certainty how long they will stay elevated and come down to back to normal.
Todd Gibbons: Yes, I would add a little color, I mean in some of the businesses like clearing and collateral management. So as you think about our government clearing business that’s continuing to sustain itself at very high level, because the government is issuing a lot of debt and there is a lot of trading going on around that. The collateral management business is probably a little bit off from where we saw it at the peak, but I think secured lending will become more and more will continue to be important in the industry and we are likely to see growth there. But the very high volumes, for example, that we would have seen in Pershing, the transaction volumes are going to fallback to what we think more normalized levels, which they begun, we have begun to do we are seeing that in asset servicing to certain extent as well.
Brennan Hawken: Okay, alright. I will try and triangulate those factors. Thanks a lot for the color.
Todd Gibbons: Thanks, Brennan.
Operator: Thank you. Our next question comes from the line of Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck: Hi, good morning. Congratulations Todd. That’s great news.
Todd Gibbons: Thanks, Betsy.
Betsy Graseck: I had a question around the press, now that the rules are starting April 1 is the kick off date for the new rules. Could give us a sense as to how you are thinking about that capital stack and what you would do with the press here?
Todd Gibbons: Okay. Mike, I will turn that one over to you.
Mike Santomassino: Yes. Look, obviously, Betsy, as you know we are in the middle of CCAR. So we are not going to talk much about sort of what our capital plan looks like at this point. But as you sort of think about where given the increase in the balance sheet where we are most constrained right now is Tier 1 leverage. And I think as you sort of think about prospect that could be good depending on how long we have sort of remained constrained there that could be a good way to continue to – on that, I think we are going to continue to look at opportunities to either refi, press if that comes back into market and pricing comes back to where it was just 4, 5, 6 weeks ago. So, we are continuing to look at the capital stack and we will give you more once CCAR is done.
Betsy Graseck: And then when I am thinking about the funding mix, there is room for your funding costs to come down obviously with not only deposits, but in looking at the long-term debt, is there some opportunity there as well in this environment to reduce the funding costs?
Todd Gibbons: Mike?
Mike Santomassino: To reduce long-term debt, is that what you are suggesting, Betsy?
Betsy Graseck: Yes. Well, just looking at the yield on the long-term debt, is there room there to bring this down in addition to the deposits, cost of funds here over the long-term?
Mike Santomassino: Yes. Well, I think lower rates are going to impact all of our funding costs overall, right. And I think you are going to see that come through in the second quarter. So I think you will see that.
Betsy Graseck: Okay, thanks.
Operator: Thank you. Next, we move to Ken Usdin with Jefferies. Please go ahead.
Ken Usdin: Thanks. Good morning, everyone. Mike, can you talk a little bit about more about just on helping us to understand because it’s been a while now on the fee waiver side. So, the 50 to 75, can you just help us understand what that means when you say net of distribution expense, where it shows up in the income statement and then would there be logically just because rates are going down at bigger potential impact as you move past 2Q just on the direction of rates?
Mike Santomassino: Yes. I think I will try to give you a little bit of the things that we are sort of thinking about related to that, but so first and foremost, if we can have an impact on government funds first, right, as you sort of think about where yields are. And one of the variables that makes it pretty hard to estimate right now is just where T bill yields are. So over the last 3 weeks they have gone from negative to 20 plus basis points back down a bit now over the last day or so and so that’s going to be a big driver of when they start – when fee waiver start to kick in and that’s of them as well. So you sort of have to keep that in mind. And as you sort of think about the funds in our asset management business that may get impacted by it that maybe distributed through other parts of the company, some of those fee waivers would be offset by lower distribution expenses in those businesses. So you will see the fee waivers come through the fee line. And then you see distribution expenses lower as they start to impact those funds.
Ken Usdin: Okay, got it.
Todd Gibbons: And Ken, I will add a little bit to that. It’s important to note the difference between prime and government funds. So, the yield in prime funds is can certainly support the fees. Initially, there was avoidance of client funds. And we are starting to see some investors come back to them. So that could have an impact that would neutralize some of it. And Mike’s point is there is going to be enough yield in assets and government funds to generate the fees and the huge amount of issuance in T-bills has kind of surprised just a little bit and put a little bit of yield into that, but that can’t be certain that could come down again.
Ken Usdin: Got it. And just to follow-up on the cost side obviously you are adjusting to try to keep costs flat in this environment, can you just talk a little bit more about what do you shift, is it – do you push out some investment spend, is it incentive comp adjustment, what are the ins and outs of your ability to hold the line there that you are tempting to do? Thanks guys and best of luck, Todd.
Todd Gibbons: Thank you. Mike, you want to take that?
Mike Santomassino: Yes. We haven’t seen – so first, we haven’t really seen any impact on our most important investment. As you sort of look at the investment portfolio and you get deeper into the list, there is always opportunity to sort of reprioritize the timing of some of those things. And so we are doing that. You are going to see update the obvious, but you are going to see lower travel and business development costs that will be part of it. Although Todd said we are not going to have any restructuring or layoffs through the rest of the year. We were also putting a lot of discipline around new hires that we are bringing in during this environment so I think it is a multitude of factors that you highlighted that help us have the confidence to get there.
Ken Usdin: Thanks guys.
Operator: Thank you. We will next move to Brian Bedell with Deutsche Bank. Please go ahead.
Brian Bedell: Great. Thanks. Good morning and also congrats Todd. Good to see you get the new role to start with maybe Todd. Thanks Mike for giving us pretty good outlook for the activity levels bringing into the second quarter but Todd may be you can give us some prospective on what you can see for the rest of the year obviously extremely difficult to predict but with the government intervention and we uncertainty though to have to the path to recovery how are you seeing that potentially impact some of the key business lines in activity and also comments on the back step on the Fed on prime money funds, to the extent you can get much more confidence in people investing in prime funds transition government?
Mike Santomassino: Yes. Well first of all as I mentioned we are seeing a little of that so we are seeing a little bit of positive flows into the prime funds. But if you look at activity levels we would expect them to obviously come down from the surge that we saw towards the end of March but probably be elevated and again anything we see there is just so much uncertainty the environment and situation that we faced and it is really hard for us to look out long term until we get on the other side of this of the health crisis but that being said we wouldn’t expect to stay at the extraordinary high levels that we saw in March we see exception perhaps of our clearing and collateral management business just because there is going to be so much debt issuance but in the rest of our businesses the transaction volumes component of Pershing business the same thing in asset servicing we would expect that to moderate just about under any circumstances unless we just saw another couple of blips and more of what I call a see-saw activity that could take place over the remainder of the year.
Brian Bedell: And then the organic growth efforts that you're doing as well, like in deposit gathering and in collateral management is that on track or is that sort of suspended in this environment?
Mike Santomassino: Yes I would say if you look at the organic growth especially around the deposits I mean we had we have seen some positive there obviously there were surge deposits that are just going to be associated with this interest rate environment and this financial environment but when we look at other businesses we have room to gain some market share I think we have done that in our payments business we had some good wins in the first quarter and our asset servicing business I would expect under this environment people are probably going to slow down making a whole lot of transitions we have got a healthy pipeline both in our asset servicing and Pershing business I am not sure a lot of people are going to make a whole lot of change we are seeing some new point complexes come on we were also seeing some being differed.
Brian Bedell: Great. That's helpful. And then Mike, just real quick on NII outlook into the second quarter, does that exclude FX hedging activity?
Mike Santomassino: Yes I mean not affected but the hedging activity is hard to predict because it's at a point of time at the end of the quarter so we are not making assumption in a way on that at this point
Brian Bedell: Great. Thanks so much taking the questions.
Operator: [Operator Instructions] We will next go to the line of Brian Kleinhanzl of KBW. Please go ahead.
Brian Kleinhanzl: Great, thanks. Good morning. Congrats, Todd. Quick question on Pershing kind of what you've been seeing with all of the changes going on in the industry and kind of what that means for the pipeline form that business does it help or is it too early to say at this point of time?
Todd Gibbons: Yes I will make a couple of comments and Mike can add some color. First of all, I think it’s a little early to say Pershing has a different model and I think clients are quite interested in seeing a more open architected approach to what some of the competitors are doing so I think the conversations are quite healthy there. I think the pipeline continues to be strong. They have come out with a very competitive subscription price alternative to meet whatever the demand of that client base is. We are continuing to invest in our advisory services business. So I don’t think it’s – I don’t think there is any significant impact that we are seeing from some of the consolidation elsewhere in the business other than it’s making us a little bit more of a differentiated alternative. I would also mention that Pershing did quite well through the crisis, so I was able to keep its technology up and running and accommodate the surge in the growth which in some instances we point out was 3x to 4x. I don’t know Mike do you have anything to add to that?
Mike Santomassino: And then I would just say probably more broadly outside of just Pershing, I think we are seeing the benefits of lot of the investments we have been making over the last couple of years. And I think clients are seeing that as well and though anecdotally we heard from a client that just we brought on to our middle office service late last year saying I am not sure how I could have done this without you and couldn’t have dealt with all of the increase in the volatility on my own. And so I think we are seeing that sentiment really across – more broadly across the client base.
Brian Kleinhanzl: Okay. And then just a separate question on those deposits that you saw come in, in surge in March, they are rolling off the balance sheet now, are those going more so into your own liquidity products and that’s been factored into the few waivers that you gave in the second quarter, are they just rolling off completely?
Todd Gibbons: Well, I take that one and then Mike can jump in. If you think about what happened in the ecosystem so when there was a lot of draws for example under these commitments around the country, a lot of that cash had to go somewhere, some of it was deposited back at banks, lot of it went into government funds. Initially, government funds had nowhere to invest. So, a lot of that ended up in the money-market funds where we were the custodians and we saw that big spike perhaps now as lot of that spike has normalized itself out as there are other alternative investments for those government funds. Some of those were our own money market funds and some of them were competitor money market funds. I think that’s the biggest most volatile component of the cash that we saw move.
Brian Kleinhanzl: Thanks.
Operator: Thank you. Our next question goes to Mike Mayo with Wells Fargo Securities. Please go ahead.
Mike Mayo: Hi. So, I guess you are positioning 169x your level of charge-offs. I only bring that up because what sort of economic scenario are you assuming in taking those provisions?
Todd Gibbons: Mike?
Mike Santomassino: Yes. Mike, I as said earlier, we are using multiple, many scenarios to sort of go in sort of thinking about what the ultimate reserving looks like, but it’s a scenario where you don’t see a meaningful sort of uplift or doesn’t fully recover until you are into the middle of next year. So you start a recovery in the latter part of the year and it doesn’t fully recover until later in 2021. As I said earlier as well, only a small portion of the reserve is related to either actual borrower downgrades or the increase in the loan portfolio, the remainder of it is related to the changing economic environment and the way that flows through the new accounting standard.
Mike Mayo: I guess so what I am getting to is its not just unique to you, it’s the industry. So it seems like you are planning for kind of a U recovery, but you have an infrastructure for a V recovery like here, you are retaining your employees, your expenses should be kind of flat this year. I am going to guess you are not changing tech spending, but I am not sure if that’s correct. So help me reconcile keeping an infrastructure for a V recovery while your underlying premise is for a V recovery?
Todd Gibbons: You want to take that, Mike? You only take it.
Mike Santomassino: You go ahead and start.
Todd Gibbons: Okay. Yes, well why don’t I start? So, we did give guidance and might give guidance and we do expect expenses might be lower than they otherwise would have been. We think that having the human resources here is the right thing to do not only for them but also to position ourselves well to service our client’s through this kind of an environment trying to make any significant changes just wouldn’t be particularly prudent on our part that being said we are controlling other components of our costs we want to continue to make the investments in technology that can I am sure some of that will be delayed and could be somewhat different prioritization but we are going to keep it very close eye on our expenses we think we can do a little bit better than the guidance that we had previously given for a number of reasons and we are talking about a U shape type of recovery which means you do need those resources to continue to support our people in this kind of an environment.
Mike Mayo: And just last follow-up then, just on the tech spending so you expect some delay or like what was your tech spending going to be what would be now or how should we think about that part?
Todd Gibbons: Yes we are committed to continue with the spend that we have gotten and that’s what we have indicated I am certain that a couple of things might end of being delayed a bit but I am not going to pull that out of our plans at this point time by any means.
Mike Mayo: Okay. Thank you.
Operator: Thank you. We will next go to Alexander Blostein with Goldman Sachs.
Alexander Blostein: Great, thanks. Thanks for taking the question and to echo everybody’s comments, congratulations to Todd. Question for you guys with respect to just broader a liquidity in the system clearly there has been a tremendous amount of cash flows coming through the side lines and that supposed to that's both the Fed action as well as the general risk call backdrop how should we think about BK’s ability to sort of absorb these deposits so changes to spot SLR definitely help but there is lots of other considerations so kind of help us think through the ramifications of this a little bit longer term and how the balance sheet could ultimately be in terms of size beyond the first quarter?
Todd Gibbons: Okay Mike you want to take that?
Mike Santomassino: Yes I think the SLR change is sort of helpful that is out there but I think as you sort of look at our constrains balance sheets its been on Tier 1 leverage based on the overall size of the balance sheet and I think we have been able to sort of work through that with our client’s pretty effectively so far and as Todd said the environment normalizes a bit for the money funds and the rate environments sort of settle down we have seen those real surge balances come off and so our expectation as they normalize more is that the balance sheet will either sort of hold steady or sort of come down from where we are right now and so we feel like we can sort of walk through that pretty effectively with the current capital that we got.
Alexander Blostein: Got it. Thanks for that. And then just a couple of cleanups around NIR, can you help quantify the hedging benefits in the quarter I know it hits an IR and shows up in FX. So just to clean that up so any sense of new money yield on the fixed portion on the securities portfolio as that matures and gets reinvested just trying to get a sense of the headwind to NIR beyond the second quarter on that fixed sale of the portfolio? Thanks.
Todd Gibbons: Sure. I think the first piece on the heading benefit so this is kind of really sort of simple we have interest rates swaps in the portfolio in the way they are valued every day sort of creates some basis risk between OIS and LIBOR. And really, all we're doing is sort of hedging that basic risk that’s created from the interest rate swaps and that impact for the quarter is based on where it all ends up on the day one day at the end of the quarter so there is really nothing else sort of happening there and you can kind of see the relative impact on the slide in the presentation so it is a hard thing to sort of predict in terms of where it is going to end up at the end of the quarter. As we sort of think about the securities portfolio I mean you can kind of see where rates are right now as you sort of think about both the fixed rate and the floating rate piece of the portfolio. And I think as we sort of look at our investments strategy going forward we are doing whatever we can try to get some yield out of it. And I think the reinvestment rates are down from what you saw obviously in the second quarter. But just a reminder, the overall duration of the portfolio just a couple of years, right, so we are not buying a lot of 30-year treasuries as we sort of think about this portfolio. And I think we are doing our best to try to keep that spread up as best as we can within the risk appetite we are in.
Alex Blostein: Great. Thanks very much.
Todd Gibbons: Thanks, Alex.
Operator: Thank you. And gentlemen, we have no further questions at this time. I would like to turn the conference back over to Mr. Todd Gibbons for any additional or closing remarks.
Todd Gibbons: Okay. Thanks, Derrick and thanks everybody for your interest in our company and have a good day.
Operator: Thank you. And this concludes today’s conference call webcast. A replay of this conference call webcast will be available on the BNY Mellon Investor Relations website at 2 o’clock p.m. Eastern Standard Time today. Thank you. Have a good day.